Operator: Good morning, ladies and gentlemen, and welcome to the MAA Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, February 5, 2026. [Operator Instructions] I will now turn the call over to Andrew Schaeffer, Senior Vice President, Treasurer and Director of Capital Markets of MAA for opening comments.
Andrew Schaeffer: Thank you, Julianne, and good morning, everyone. This is Andrew Schaeffer, Treasurer and Director of Capital Markets for MAA. Members of the management team participating on the call this morning are Brad Hill; Tim Argo; Clay Holder; and Rob DelPriore. Before we begin with prepared comments this morning, I want to point out that as part of this discussion, company management will be making forward-looking statements. Actual results may differ materially from our projections. We encourage you to refer to the forward-looking statements section in yesterday's earnings release and our 34-Act filings with the SEC, which describe risk factors that may impact future results. During this call, we will also discuss certain non-GAAP financial measures. A presentation of the most directly comparable GAAP financial measures as well as reconciliations of the differences between non-GAAP and comparable GAAP measures can be found in our earnings release and supplemental financial data. Our earnings release and supplement are currently available on the For Investors page of our website at www.maac.com. A copy of our prepared comments and audio recording of this call will also be available on our website later today. After some brief prepared comments, the management team will be available to answer questions. When we get to Q&A, please be respectful of everyone's time and an attempt to complete our call within 1-hour due to other earnings calls today, we will limit questions to one per analyst. We ask that you rejoin the queue if you have any follow-up questions or additional items to discuss. I will now turn the call over to Brad.
Brad Hill: Thank you, Andrew, and good morning, everyone. As highlighted in our release, our fourth quarter core FFO results met expectations, despite continued elevated supply levels. With occupancy up 10 basis points and same-store blended lease-over-lease performance 40 basis points stronger year-over-year, the recovery in fundamentals is underway. As we look ahead, we are entering 2026 in a stronger position with a higher earn-in and more tight top line revenue momentum that we expect to build throughout the year, particularly in new lease rates, driving an anticipated 110 to 160 basis point improvement in blended lease rates and an 85 basis point improvement in effective rent growth compared to 2025. While uncertainty remains in the broader economy, the level of uncertainty appears lower than what we navigated in 2025, supported by expectations for sustained GDP growth. Several of last year's major headwinds are showing signs of easing. At the same time, the economy should benefit from the working families tax cut, easing inflationary pressure and improving consumer sentiment, which is showing signs of recovering from multi-decade lows. Looking at our portfolio, rent-to-income ratios have improved, making rents more affordable. New deliveries are decelerating sharply, down over 60% in 2026 from the peak. And new starts are muted and have been for nearly 3 years, down nearly 70% from peak levels. Against this improving backdrop, we anticipate demand across our markets to remain solid and broad-based, supported by stable job growth, continued in-migration, healthy wage gains and record levels of resident retention. These trends point to a financially healthy resident base, supporting our consistently strong collections, reinforcing the durability of our revenue profile and suggesting that absent a meaningful shift in the broader economy, underlying demand conditions remain well supported. Building on this foundation, our long-term earnings growth will benefit from numerous strategic investments we're making. This includes expanding our technology initiatives such as community-wide WiFi and other enhancements designed to elevate the resident experience and improve operational efficiency. Our residents value our communities and the exceptional service our teams provide, reflected in record retention levels, strong renewal rates and sector-leading resident Google scores, averaging 4.7 out of 5 for the year. Persistent single-family affordability challenges, combined with favorable demographic trends continue to support renter demand and keep move-outs to purchase a home near historical lows. These trends, along with fewer competitive units in lease-up, support strong returns from our repositioning and redevelopment projects. As a result, we're expanding our capital investments in these areas by more than 10% in 2026. Beyond these investments, we continue to grow our development pipeline by leveraging our strong balance sheet and development capabilities to invest early to take advantage of growth opportunities at a time when access to capital is more limited for others. As such, during the fourth quarter, we purchased a shovel-ready project in Scottsdale, Arizona from a developer that was unable to line up equity for their project after 3 years of due diligence, bringing our active development pipeline to $932 million. Additionally, during the first quarter of 2026, we purchased a land parcel in the Clarendon neighborhood of Arlington, Virginia and expect to start construction on a 287-unit apartment community later this year. As demand remains robust, new deliveries slow and new starts track well below historical levels across our region, our development should continue to generate strong returns and earnings growth with stabilized NOI yields between 6% and 6.5%, well above current market cap rates. Subject to market conditions, we expect to begin construction on 5 to 7 new development projects in 2026 that should deliver into a much stronger operating environment than the one experienced over this past year. Additionally, our balance sheet provides the flexibility to pursue compelling acquisition opportunities as they materialize. We remain encouraged by the progress we're seeing across our portfolio. With more than 30 years of navigating economic cycles, we believe we are well positioned to serve our residents and to deliver compounded earnings growth over the full cycle. As market conditions continue to strengthen, improving fundamentals, coupled with our strategic investments should provide meaningful opportunities to enhance performance and support a stronger revenue trajectory over the next few years. To all our associates across our properties and corporate offices, thank you for your continued commitment to customer service. With that, I'll turn the call over to Tim.
Tim Argo: Thank you, Brad, and good morning, everyone. For the fourth quarter, the key operating fundamentals of pricing and occupancy combined were in line with expectations. New lease growth continues to be muted due to the moderating, but still elevated supply picture combined with the normal seasonal slowdown in the fourth quarter. We did, however, continue to have strong retention and renewal lease rates and achieved sequentially improved average physical occupancy. As compared to the fourth quarter of 2024, blended rates improved 40 basis points, supported by a 50 basis point improvement in renewal rates and flat new lease rates. Average physical occupancy was 95.7%, which was a 10 basis point improvement from both the fourth quarter of 2024 and the third quarter of 2025. Additionally, we had another quarter of strong collections with net delinquency representing just 0.3% of billed rents, in line with the collection performance for the full year. While we broadly saw normal seasonality in pricing during the fourth quarter, many of our mid-tier markets, particularly in Virginia and South Carolina, continue to be outperformers relative to the portfolio. Charleston, Greenville, Richmond and the D.C. area markets all demonstrated strong pricing power and strong occupancy in the quarter. Encouragingly, our 2 highest concentration markets, Atlanta and Dallas continue to show improvement as compared to the prior year. Of our top 20 largest markets, these 2, along with Denver had the largest year-over-year improvement in blended pricing as compared to the fourth quarter of last year. Austin continues to be our weakest market in terms of pricing as it continues to work through the 25% of inventory that has been delivered cumulatively over the last 4 years. In our lease-up portfolio, MAA Vale in the Raleigh-Durham market reached stabilization in the fourth quarter. We now have 3 properties remaining in lease-up with a combined occupancy of 65.7% as of the end of the fourth quarter and an additional 3 development properties that are actively leasing units. Elevated concessions and longer lease-up periods continue to have a greater impact on the lease-up properties and have pushed the full earnings contribution from these out about a year. However, these projects are still expected to achieve our underwritten yields as markets continue to improve and retain the long-term value creation opportunity, despite the overall leasing velocity being behind original expectations. We continue to progress on our various targeted redevelopment and repositioning initiatives in the fourth quarter. And as Brad mentioned, expect to accelerate each of these programs in 2026 with improving fundamentals. During the fourth quarter of 2025, we completed 1,227 interior unit upgrades, bringing the total for the year to 5,995 units renovated with rent increases of $95 above non-upgraded units and a cash-on-cash return of 19%. Despite this more competitive supply environment, for the full year, these units leased on average 11 days faster than non-renovated units when adjusted for the additional turn time. For our common area and amenity repositioning program, we are on average over 70% repriced at 6 recent projects with an average NOI yield above 10% and rent growth far exceeding peer MAA properties. 5 additional projects are well underway with anticipated repricing in mid-2026 during the prime leasing season. We have targeted an additional 6 properties to begin later this year that will reprice in 2027. While vendor challenges and equipment delivery delays have slowed progress on our community-wide WiFi retrofit projects, we arrived on 14 of the 23 projects started in 2025, with the remaining 9 expected to go live in the first quarter. Similar to our redevelopment plans, we expect to expand this initiative in 2026 also. Looking forward to 2026, we are well positioned. While Winter Storm Fern did impact about 70% of our portfolio and slowed traffic for several days, we ended January with physical occupancy of 95.6% and 60-day exposure of 7.1%, both in line with this time last year. As Brad referenced, new supply pressures continue to moderate and demand remains strong with market level occupancies, including lease-ups in our markets well above where they were this time last year. Strong renewal performance continues in the first quarter with high retention rates and lease-over-lease growth rates on renewals accepted for January, February and March, all above 5%. This compares to the 4.5% we achieved in the first quarter of 2025. We expect gradual seasonal improvement in new lease rates, along with consistent renewal growth will drive improved performance in 2026 and be particularly impactful to 2027, as pressure from supply subsides throughout the year. I'll follow -- I have in the way of prepared comments. Now I'll turn the call over to Clay.
A. Holder: Thank you, Tim, and good morning, everyone. We reported core FFO for the quarter of $2.23 per diluted share, which was in line with the midpoint of our fourth quarter guidance and contributed to core FFO for the full year of $8.74 per share. Fourth quarter same-store NOI was in line with our guidance as same-store revenues were $0.01 unfavorable due to other revenues and pricing, offset by same-store expenses favorable by $0.01 due to office operations, repair and maintenance and real estate taxes. Favorable interest expense was offset by overhead expenses and operating performance from our non-same-store portfolio. During the quarter, we funded approximately $81 million in development costs for our current $932 million pipeline, leaving an expected $306 million to be funded on the current pipeline over the next 3 years. As Brad noted, our balance sheet remains well positioned to support these and other future growth opportunities. At the end of the quarter, we had $880 million in combined cash and borrowing capacity under our revolving credit facility, and our net debt-to-EBITDA ratio was 4.3x. At quarter end, our outstanding debt was approximately 87% fixed with an average maturity of 6.4 years at an effective rate of 3.8%. During November, we issued $400 million of 7-year public bonds at an effective rate of just over 4.75%, using proceeds to repay borrowings under our commercial paper program, which were used to repay the November 2025 bond maturity. During the quarter, we repurchased 207,000 shares at a weighted average share price of $131.61, our first repurchase since 2001. Finally, we provided initial earnings guidance for 2026 in our release, which is detailed in the supplemental information package. Core FFO for 2026 is projected to be $8.35 to $8.71 or $8.53 per share at the midpoint. As was outlined in the prior comments, with the continuing improvement in supply impacting our markets, coupled with solid demand fundamentals, we expect rental pricing to grow during the year and to drive improving earnings performance as we progress throughout the year. Projected 2026 same-store revenue growth midpoint of 0.55% results from a rental pricing earn-in of negative 0.2%, an improvement compared to 2025's earn-in, combined with a blended rental pricing expectation in the range of 1% to 1.5% for the year. New lease pricing is expected to show improvement over last year. We expect supply levels to continue to impact new lease pricing, particularly in the first half of the year, but believe the impact will increasingly improve over the course of the year as the effect from new supply continues to decline. Renewal pricing is expected to remain strong and in the 5% to 5.25% range throughout the year. For the same-store portfolio, we expect effective rent growth to be approximately 0.35% at the midpoint of our range, occupancy to average 95.6% at the midpoint and other revenue items, primarily from reimbursement and fee income to grow just over 2%. Same-store operating expenses are projected to grow at a midpoint of 2.65% for the year. Personnel costs are expected to grow by less than 2%, while we expect some continued pressure from utilities, marketing costs and office operations. These expense projections, combined with the revenue growth of 0.55%, results in a projected decline in same-store NOI of 0.75% at the midpoint. As outlined in our release, we expect our non-same-store portfolio to contribute $0.19 in NOI during 2026. With the related interest carry, along with the slower leasing velocity and higher lease-up concessions that Tim mentioned, we anticipate the recently completed developments and acquisitions will be slightly accretive to 2026 core FFO and move closer to the expected yields in 2027 and beyond. We expect continued external growth in 2026, consisting of our current development pipeline and the projected new starts that Brad noted, with funding between $350 million to $450 million coming from debt financing and internal cash flow. We also expect to match fund $250 million in acquisition opportunities with dispositions. This external growth is expected to be slightly dilutive to core FFO in 2026 and then turn accretive to core FFO after stabilization. We project total overhead expenses, a combination of property management expenses and G&A expenses to be $136 million, a 5% increase over 2025 results, bringing our 3-year average increase to 2.5%. We also expect to refinance $300 million in bonds maturing in September 2026, which had an effective rate of 1.2%. Further, we plan to redeem the outstanding preferred shares in the second half of the year. These anticipated transactions, coupled with our 2025 refinancing activities will result in incremental interest expense of over $0.05. And combined with financing to support our 2025 development deliveries and the expected deliveries in 2026, we project interest expense to increase by over 15% for the year. We are still early in the assessment of the impact of Winter Storm Fern. But based on initial assessments, we anticipate excluding the impact from our core FFO results as we expect to receive insurance proceeds to cover a portion of the cost of the damages. That is all that we have in the way of prepared comments. So Julianne, we will now turn it back to you for questions.
Operator: [Operator Instructions] Our first question comes from Jamie Feldman from Wells Fargo.
James Feldman: I apologize that you went really quickly through the new renewal and blend outlook. Can you just run through those numbers again? And maybe just talk us through your level of confidence in each, your cadence on each throughout the quarters and just where you think -- if you think about your markets, where you're most confident and most concerned about hitting those numbers?
Tim Argo: Yes. Jamie, this is Tim. I can walk you through that, and then Clay may have some to add as well. As Clay mentioned, our blended guidance is about 1% to 1.5% for 2026. On the renewal side, I mentioned in my comments that we're seeing a little bit above 5% so far this year. So we would expect renewals to be in that 5.25% range and then start to slowly see momentum on the new lease side and you kind of do the math on the new lease side with those components. And I would say, generally, we expect a normal seasonal curve where we see strength into the summer and then start to moderate move into the late summer and fall, but see less of that moderation in late Q3 and Q4 than we typically do, again, as we get further away from the peak of the supply and expect the demand to solidify as well. So normal seasonality, but less steep declines as we get late in the year. As far as markets, I mentioned a few of those on the prepared comments. We're continuing to see strength out of the markets that have been strong, some of the Carolinas and Virginia, encouraged with what we're seeing out of Atlanta and Dallas. Those are obviously our 2 largest markets. We continue to see steady progress there, both on the pricing front and the occupancy front. The year-over-year improvement in Q4 pricing for both of those was significant and 2 of our highest. I think we'll start to see a little bit of momentum in Tampa. That's one where occupancy has stabilized, and we expect to see a decent amount of demand there. But other than that, I think the ones that have been pretty solid for us this year, I expect those to continue to be solid for us in 2026.
Operator: Our next question comes from Jana Galan from Bank of America.
Jana Galan: I was curious if you could comment a little more on the transaction market. We're hearing there's more variance on cap rates between core and value-add. And then maybe on your decision to add to the development pipeline rather than buying assets or buying back more stock?
Brad Hill: Yes. Thanks. This is Brad. I'll kick that one off. I mean, in terms of the transaction market, it continues to be pretty aggressive on those core assets, as you mentioned. What we looked at in the fourth quarter, we continue to see cap rates in the, call it, 4.6% range. In terms of the spread between core and value-add, I would say you're probably seeing a 50 to 75 basis point spread, all depending on certainly the markets that the value-add is located in, what that upside opportunity looks like. But those can trade somewhere in the 5.25% to call it, 5.5% range, again, depending on the market that that's located in. But I don't think that spread has changed. That spread has been there for the last couple of years. So I wouldn't say there's a material change in that at the moment. In terms of our capital allocation, yes, I mean, development continues to be a big focus of ours. If we can -- as I indicated in my comments, when we're in an environment where demand continues to be solid, the supply pipeline over the next few years continues to be muted. We've got the past 3 years now of starts have been below long-term averages in our region of the country. This is a good time for us to be able to use our balance sheet capacity to invest in new assets that will deliver into a much stronger operating environment, the development yields that we're still able to achieve today selectively, not on everything that we look at, but on the deals that we move forward with, and we're in the 6% to 6.5% range. So we continue to believe that, that's a good use of our capital to drive long-term earnings growth out of our portfolio. In terms of share repurchases, again, we look at all opportunities for capital allocation, whether that's external growth, internal growth, developing -- or excuse me, investing in our existing platform. We talked about the redevelopment repositioning, the WiFi initiatives, various initiatives we have to drive margin expansion opportunities. Those continue to be very, very compelling for us. And when we look at our opportunity set there, that does leave us with limited capacity for share repurchases. One of the things that we're not really targeting is a big disposition portfolio of properties to dispose of. I mean we generally like where we're located, and we don't need to reallocate capital between markets. So you're generally not going to see us move forward with a big disposition plan to support a share repurchase. Rather, what we'll do on the disposition side is continue to cycle out of older assets, redevelop or redeploy that capital into newer assets. And if you look at what we've done over the last 5 years, we've taken capital off of dispositions. We've earned almost a 20% IRR on those and redeployed them into new assets, driving 1,000 basis points better NOI margins and a 1,500 basis points better after-CapEx NOI margin. So we think that's the best opportunity for us on dispositions moving forward.
Operator: Our next question comes from Nick Yulico from Scotiabank.
Nicholas Yulico: So in terms of development, I was hoping you could talk some more about why that you have a focus on development right now when -- clearly, you have a view there's value creation to be had over time. You're building at higher yield than where you think assets are trading. But from an FFO and accretion growth standpoint, it's not helping right now. I mean you've talked about slower development lease-up period. You have an issue like others where capitalized, interest benefit is lower than where you're borrowing. So can you just maybe talk about how this makes sense to be picking up development right now if you are having all these near-term FFO impacts because of that?
Brad Hill: Yes. Thanks, Nick. This is Brad. I think that's a good question, fair question. I think it's important to keep in mind with our development pipeline that we are delivering currently at a time where that -- those particular properties are under more pressure than they ever have been. I mean keep in mind that if you look at the amount of supply that's delivered on our markets from '23 to '25, we delivered 5 years' worth of supply over a 3-year period. So those properties are facing much more pressure, which we are seeing right now in terms of their ability to lease up, the velocity of their lease-up and certainly the use of concessions right now. But that's temporary. If you look at the lease-over-lease return or rents we're getting on renewals on our new lease-up properties, we're getting low double-digit returns. So the concessions that we're offering are burning off. If you look at the recurring rents that are in place on those development projects right now, they're 2% above pro forma. So again, this is a temporary issue with our developments. If you look at what we've developed over the last 5 years, we have delivered developments on average that have exceeded our underwritten yields by 90 basis points. So you're right, we're under pressure right now on that development pipeline, and we do think that, that's temporary. And as the market firms and concessions burn off, we will, as Tim mentioned in his comments, capture the value proposition associated with those. And then in terms of starting new developments today, they'll be delivering in '28, '29. And as I mentioned in my comments, we've had 3 years now of below long-term average supply in our starts in our market, which will support a stronger operating environment when those new developments come online. So we very much believe in the merits of continuing to allocate capital to developments despite the pressure that we're under currently.
Operator: Our next question comes from Eric Wolfe from Citi.
Eric Wolfe: You mentioned that renewals are being accepted above 5% so far this year. Could you just talk about what the dollar premium is on renewals versus new leases right now and how that premium compares versus history? And just any thoughts on how sustainable you think this 5% renewal rate is.
Tim Argo: Yes, Eric, this is Tim. As far as the gap, Q4, it was around $180, $185 or so new leases versus renewals. Now that's after the renewal increase and the renewal increase is about $80 or so. That's certainly higher than our long-term averages, but not too much different. Q4 is when it always tends to gap out as we see obviously more moderation in new lease rates and traffic patterns, that sort of thing. So if I look back to the last couple of Q4s, that's not too much different than what we've seen there. So -- but we've now seen that. There's been 8 or 9 quarters now where it's been a little bit wider than normal, but still been able to maintain the growth that we've achieved on renewals. And I think there's a lot of reasons for that. We've talked about this in the past. I mean I think there is a cost, there's a hassle to moving as our residents get a little bit older, the cost of that and the willingness to go through that hassle and spend that money and take that time. I think people are less willing to do that with the resident base that we have, and we're very thoughtful of how we go about our renewal increases. It's based on where our residents are relative to market and we scale that higher or lower based on that, and we're looking at it on a very strategic basis. And there's a customer service factor there as well. Brad mentioned the Google scores that we have, which are highest in the sector, the customer service component. And I think when you factor all those things in, the service you're getting, the cost, the hassle, the everything that goes into moving, it's just not worth it for a lot of our residents when they consider the value that they're getting with us. And particularly in this environment, when you think about the concessions on lease-ups and some of the 8 to 10 weeks free that they're seeing, that's a short-term thing, and you're going to get that big increase when you try to renew if you are willing to move. So we expect -- we've got visibility really out into April now and seeing consistent take rates and consistent performance on renewals. So feel confident and comfortable about where we are on the renewal side.
Operator: Our next question comes from Michael Goldsmith from UBS.
Ami Probandt: This is Ami on with Michael. What gives you the confidence that you can see an acceleration in new lease through and maybe a little bit past the typical lease season given the softer macro? I know you mentioned some tailwinds. But within your markets, what are you seeing in terms of job growth that really gives you confidence that the remaining supply can be absorbed, and rents can accelerate? And maybe if you could talk about the new lease growth from trough to peak and how that would compare to historical?
Brad Hill: Yes, Ami, this is Brad. I'll kick off and Tim can certainly give you some details. But I think it's -- the pace of recovery and the expectation for a recovery to accelerate this year for us is really, as I mentioned in my comments, really anchored in the fact that we do think some of the headwinds that we had last year are a little bit less than what we -- or less this year than what we expected last year. And we're seeing the momentum. If you look at our fundamentals as we talked about, they're improving. The operating fundamentals are. Now it takes time for that to make its way into the revenue and earnings portion as the rent roll turns. But we've had 4 straight quarters now of blends improving year-over-year, which really indicates that we're turning the corner, certainly less uncertainty, as I talked about. And then I think as you look out into the next year and the cadence of new deliveries declining this year, where they'll be down by more than 60% from the peak and down 35% year-over-year. And then I think, as Tim mentioned earlier, with the backdrop of market level occupancies continuing to firm up and less units in lease-up, the sustained demand that we're seeing across our portfolio right now should have a more pronounced impact on fundamentals. And certainly, as we get into -- and particularly on the new lease rate side and as we get into the spring and summer leasing season, we would expect that to continue to manifest itself to a larger degree.
Tim Argo: Yes. I'll just add one point. I mean I think important to keep in mind on the new lease side is typically in Q4 and Q1, we historically see negative new lease rates. Even in a good environment, even in a more historically favorable supply-demand environment, you see negative new lease rates in those 2 quarters just from normal seasonality from traffic declining. So that's not unusual to see that. But we would expect some good acceleration, as I mentioned, into the summer and then start to moderate in the fall. But all the things Brad mentioned and think about it when we get to the back half of 2026, how far we are from the peak, continuing to see those units absorbed. We think the demand picture will continue to solidify. All the various factors in our region of the country, whether it's job growth, migration, household formation, population growth, the health of our renters in terms of income, rent to income are all extremely strong, particularly compared to other areas of the country. So all of those factors are combined to give us the confidence that we think 2026 looks better than 2025.
Operator: Our next question comes from Haendel St. Juste from Mizuho.
Haendel St. Juste: Just wanted to come back to the point on blends one more time. Just doing a quick math by our numbers, it looks like there's about a 200 basis point ramp implied into the back half of the year versus the first half, which is similar to what you saw or what we saw at this point last year, and you subsequently had to cut a few times. So first, I guess, is my math correct? And it sounds like secondly, that it's a little bit of lower supply. You have some optimism in the demand picture here. But what about turnover? I'm curious kind of what you're factoring as well for turnover into that math.
Tim Argo: No, I'll hit that last point. I might let Clay talk a little bit about the first part. As far as turnover, we're expecting pretty consistent turnover. There's nothing that suggests that we think it will pick up. So we've effectively dialed in consistent turnover of what we did last year. So certainly, the renewal performance and the impact of renewals versus new leases is helping in that blend as we expect turnover to stay low. We're not necessarily dialing it in to be lower, but not dialing it in to be any higher either.
A. Holder: Just on the new lease side, I mean, so far as kind of the pace of that plays itself out to be. I mean, it's -- as Tim was mentioned earlier, it's increasing over the first half of the year and then subsiding over the back half of the year kind of following the typical seasonal curve. But we do expect there to be continued improvement versus what we've seen in 2024. And so as that ramps up over the course of the year, we see that playing itself out into the blended rates that we were describing.
Operator: Our next question comes from Brad Heffern from RBC Capital Markets.
Brad Heffern: Can you talk through what the path is back to positive new lease growth? Obviously, it was originally expected in mid-'25. It doesn't look like the guidance would suggest that we would see it in '26. And then if renewals are a little higher than normal, I don't think you've done anything in the [ 0.5 ] since '23. So it feels like that would put pressure on new lease in '27 as well. So I'm just wondering your best guess on when we would see positive new lease growth and then when new lease growth in general could kind of go back to normal.
Tim Argo: Well, I'm not going to put a target on going to positive new lease growth. I mean we don't necessarily have that dialed into our expectations. As you noted, in 2026, we do expect it to continue to accelerate from where we are now. And then as mentioned, seeing the steady renewals. But I think as we get into 2027, I mean, I think one thing to be clear about on what we dial in 2026 because of the acceleration of new lease rates, and I mentioned in my comments, less of the normal seasonality as we get into August, September and beyond, more of that impact in new lease rates is going to impact 2027 more so on the revenue side than 2026 because of it being a little more backloaded. And so part of that leads into where we expect 2027 to be. And again, we're even further from the supply peak consistently starts are continuing to go down. We think demand will be solidified. So as we get into 2027, I think that's when you see real sustained momentum and starting to see potentially where we get into some of those positive new lease rate ranges.
Operator: Our next question comes from John Kim from BMO.
John Kim: I wanted to follow-up on your disposition guidance of $250 million, which is following a year in which you had sold just a couple of assets. But just given the strong demand from institutions for your products, I'm wondering what's holding you back from selling more into the strength.
Brad Hill: John, this is Brad. I mean I think what's holding us back from selling more is, one, what we've always talked about, we want to protect the earnings quality and capability of our portfolio without introducing a lot of volatility into our earnings performance. And I think for us to go out and sell a large part of our portfolio, I think, could potentially introduce some earnings volatility. Second, we like where we're located. We like the diversification of our portfolio in both large and mid-tier markets, and there's really not a portion of our portfolio that we are really targeting moving out of and reallocating that capital to another region of the country. So we don't really have the need to do that. And if you look, again, as I said earlier, what we've been selling over the last couple of years, it's 30-year-old properties. And I think that really fits nicely into our overall strategy of improving the earnings quality of the portfolio versus going out and selling a big portion of our portfolio and trying to determine what to do with that capital. I think you also have to remember that the fact that we are selling assets that are 30 years old, the taxable gains associated with that are sizable. And for us to really protect that from having to pay some type of tax on that, we want to be able to 1031 exchange that. And that's harder to do at a large scale in this market without paying cap rates that we think are very aggressive at the 4.5% range or so. And we think our opportunity is better to be measured and to deploy capital into other avenues.
Operator: Our next question comes from Austin Wurschmidt from KeyBanc Capital Markets.
Austin Wurschmidt: Recognize it's still pretty early in the year, but just wondering if the pace of improvement in new lease rate growth from the fourth quarter into January, February and any future visibility you have into future months, how does that compare versus last year? And do you expect just that gap or improvement to just gradually widen through the year? Is that what's in that new lease rate growth assumption?
Tim Argo: Yes, Austin, this is Tim. I think you characterized it well in the last part of your question. We would expect that variance, if you will, to prior year to continue to get a little bit wider as we get later in the year for all the reasons we've talked about with moderating supply. Right now, particularly on the blended side, we're seeing -- we would expect pricing in Q1 blended to be better than what it was this time last year, and then we start to see it accelerate from there. So -- so far, as expected. And as I mentioned, I think the way you characterize it is the right way to think about it.
Operator: Our next question comes from Rich Hightower from Barclays.
Richard Hightower: Just to maybe follow on Austin and even Jamie earlier. Just to confirm, you guys wouldn't want to put a number on what new lease growth in the first quarter is going to be. And that's not even my real question. My real question is just on share repurchases. It seems like the philosophy -- it was always there as a possibility, but maybe it changed later in the fourth quarter. And just wondering what the math around sort of sources and uses, how that changed kind of later in the fourth quarter that led to repurchases for the first time in a long time.
Brad Hill: Rich, this is Brad. I'll kick that off and others can jump in if they need to. I wouldn't say it's been a material change in terms of our outlook there. I mean, honestly, we've always had the position that if we -- if our shares traded at a persistent and sizable discount to our underlying value, and we felt that investing in our existing shares provided an opportunity to drive earnings growth and value proposition for our shareholders, then we would do that. And I'd say what's unique right now versus historical times is that we're trading at a sizable discount persistently. We really have not done that if you go back and look at our history in a long, long time, hence, why we haven't repurchased shares since 2001. So it's not a position that we have found ourselves in historically and certainly think it's unique given the supply pressures that we are under right now that are dissipating. So we do think that it is a temporary item given where we continue to see private market pricing relative to the public market. So as I mentioned, we have a limited appetite to do that. And so we have an authorization that's in place, remains in place. And so if we continue to find that to be the case, and we think that's the best opportunity for our capital to drive long-term shareholder returns, we'll continue to monitor that and execute in that way.
Operator: Our next question comes from Steve Sakwa from Evercore ISI.
Steve Sakwa: I just was curious if you had sort of an overarching kind of macro view that you're laying on top of your expectations. I mean you're talking very positively about renewal pricing. Obviously, job growth kind of slowed in the back half of last year. And I'm just curious if there's an underpinning or kind of broad assumption that you guys have about job growth kind of in either absolute terms or percentage growth because obviously, job growth slowed pretty meaningfully from '24 into '25.
Brad Hill: Steve, this is Brad. I'll kick off and Tim can add any details if he wants. I would say the broad view is that, as I mentioned in my comments, that GDP continues to be relatively strong this year. I think from a job growth number perspective, what we're looking at, the numbers we're looking at for our markets showed absolute job growth going up slightly versus last year. The other demand metrics that we're looking at continue to remain positive. As Tim mentioned earlier, household formation, population growth in migration or migration trends continue to be positive in our region of the country. And then just wage growth. We continue to see very strong wage growth in our resident base, supporting declining rent-to-income ratio. So I think all of those things really support just the broad view that we have that things on the demand side are holding up quite well in our region of the country and should continue to hold up quite well this year, with the supply-demand dynamics improving as we progress through the year.
Tim Argo: Just one thing I'll add just to put some numbers on it. We're projecting somewhere in the 340,000, 350,000 jobs in our markets in 2026 and then about half of that in terms of number of completions. So you think about that job to completion ratio is certainly improving and in a lot better position than we've been in the last few years.
Operator: Our next question comes from Linda Tsai from Jefferies.
Linda Yu Tsai: For the markets where you're seeing higher concessions, where would you expect to see the concessions burn off the soonest? And then alternatively, markets where the concessions might persist?
Tim Argo: Yes, this is Tim. I mean I would say at a broad level; concessions have been pretty consistent. There's probably about 2/3 or so of our direct comps are offering concessions and they're averaging somewhere in the 5-week range. That's kind of a broad assessment, which is pretty consistent with what it's been. Some of the lease-up properties, as we mentioned, if there's a lot of lease-ups have been a little bit higher, more in the 8 to 10 weeks. We're starting to -- we've seen a little bit of increase in downtown Nashville, a little bit in Raleigh and Charlotte. Those are ones where we've seen concessions pick up a little bit. We've seen them drop a little bit in Tampa and some in Houston. We've seen a lot of good stability in Phoenix, where occupancy has stabilized, and we're not seeing the concession pick up. But broadly, where we've seen some improvement over the last few quarters is a couple of markets I mentioned earlier, Dallas and Atlanta and really starting to see those inner loop and urban areas across the portfolio work through that level of supply. So we've seen concessions in some of the more urban areas come down, which again is encouraging. They've seen a lot of supply. So broadly, concessions is pretty consistent and then it's some increasing, some decreasing depending on certain pockets and certain markets.
Operator: Our next question comes from Alexander Goldfarb from Piper Sandler.
Alexander Goldfarb: Just thinking about concessions, is there a risk -- all the supply that was delivered in the past 2 years presumably had a lot of concessions in that and those existing renters got the benefit of whatever, 1, 2, 3 months free. As those leases roll and those renters face market rents, are you expecting a lot of churn where, once again, even though supply is coming down, there's suddenly a lot of competitive supply, if you will, because those units now are looking for full freight renters versus the concessionary ones that were currently in the lease-up. I'm just trying to understand how the first-year anniversary of all that supply rolls, how that's going to impact you guys in the overall market?
Tim Argo: Yes, Alex, this is Tim. I mean, certainly, relative to where we've been over the last couple of years, I don't consider that to be too much of a risk. I mean, because it still comes down to just how many units are out there that are available. We think there's probably 110,000, 120,000 less units in lease-up in our markets than there were at the peak. And then you combine the lower turnover, that's helping as well, where there's just fewer units of existing assets. So I don't consider that -- I think it still just comes down to more of a supply-demand picture of how many units in lease up, and that really drives it more than anything else. I think where it has helped us more honestly, is on the retention side where people knowing those concessions are going to burn off. And I think that's helped us more on the renewal side, but we don't see that as a real risk.
Operator: Our next question comes from Buck Horne from Raymond James.
Buck Horne: I was wondering if you could help us stratify maybe the recent performance between your Class A units versus Class B. And however, you want to describe it, new lease rates, occupancy, any sort of metric between As and Bs. And I'm just wondering if we're starting to see any sort of incremental pressure from kind of the vacancy increases in the Class C units, if that's starting to filter upwards or not?
Tim Argo: Buck, this is Tim. As far as A, B, and you can think about A, B or you think about urban, suburban, depending on how you want to define it. But the way we define A and B, I haven't seen a real differentiation of performance there. But I did -- I mentioned this a little bit earlier, where we have started to see some differentiation over the last couple of quarters is more of the urban versus suburban, more of the central business district and urban areas, particularly, and we don't have a ton of that, but we have a fair amount in Dallas and Atlanta. We've seen that performance start to differentiate both on the occupancy side and the pricing side, we're seeing pricing about 40 basis points better on blended pricing and probably 10 basis points or so higher occupancy. So I think that's encouraging given where supply was occurring in those markets, but not a big mix on the A, B side.
Operator: Our next question comes from Mason Guell from Baird.
Mason P. Guell: On the acquisition side, are you seeing more opportunities to acquire lease-ups with the cycle taking longer to turn?
Brad Hill: Yes, this is Brad. I wouldn't say that we're seeing more opportunities. I mean, certainly, there are a lot of lease-ups that are out there right now. But honestly, I think we've seen less lease-ups actually being marketed than what we have historically. And I think that's just because -- the valuation is more impacted right now because there's just more uncertainty about the timing of the lease-up, the roll-off of concessions and things of that nature. So I think from a buyer's perspective, there's a little bit more hesitancy on lease-ups versus a stabilized. And so therefore, the valuation could be impacted. So sellers are really holding on to those assets a little bit longer right now, trying to lease those up before they really bring them to market. So we've seen -- there's lease-ups out there that you -- certainly that being marketed, but there's -- I think there's less of those today than there have been in the years past.
Operator: Our next question comes from Ann Chan from Green Street.
Ann Chan: Could you share how renewal and new lease rates in Atlanta have trended late last year and into early this year?
Unknown Executive: Yes. As far as Atlanta, and I touched on this a little bit earlier, we've continued to see pretty good performance, continually increasing performance, both in terms of really blended pricing and occupancy. If I look at 2025 full year blended pricing for Atlanta versus where it was in 2024, it is about 260 basis points higher blended pricing for the full year in 2025 and occupancy about 70 basis points higher for the full year. So continue to see steady improvement there when I isolate to just the fourth quarter, saw that improvement as well. So that's market that I talked about that we're starting to see some stability from. We've seen delinquency go down to just about the portfolio average as well. So I don't see any concerns there. And on a relative basis, Atlanta has had less supply than some of our markets. So broadly, pretty encouraged with what we've seen from Atlanta.
Operator: Our next question comes from Alexander Kim from Zelman & Associates.
Alex Kim: I wanted to dive into the transaction market a bit more here. Pricing power overall has been relatively soft, particularly on the new move-in side. And at the same time, you cited market cap rates in the 4.6% range with investor demand still obvious. Can you talk about what you're seeing in the transaction market for stabilized product, I guess, and what you expect moving forward for transaction volumes with this particular dynamic in play?
Brad Hill: Yes. I mean we continue to see very robust investor appetite for assets in our region of the country. I think the volume of properties that have come to market have increased steadily during '25, certainly as interest rates stabilized and were more attractive for folks. So I do think that, that is likely to continue in '26. I think the appetite for [indiscernible] in our region of the country will continue to be very, very strong. There's a lot of capital out there. Interest rates, spreads have decreased overall, the cost of capital has decreased. So I do think that the transaction market could be pretty healthy with healthy cap rates as we go forward. I don't really see those changing at this point. I think from a -- as I mentioned a moment ago, I think from an underwriting perspective, there's a little bit of more uncertainty or has been for the past year of what happens on the new lease rate side. And since these lease-ups are and generally leasing predominantly to -- for the most part, at least in the first year to new lease rates, there's more pressure there. So then it comes down to the ability to turn those concessions off. So I think the market is certainly optimistic about what that looks like going forward and hence the low cap rates. And so I see the transaction market picking up in activity as we go through '26.
Operator: Our next question comes from Haendel St. Juste from Mizuho.
Haendel St. Juste: I might have missed it, but can you tell us what the new lease rate was for January specifically? And then would you also comment -- or can you comment on the pending settlement for the RealPage multidistrict lawsuit? And then maybe remind us what other litigation there is on that front outstanding?
Tim Argo: Yes, Haendel, it's Tim. I'll answer the first part. We're not going to get into individual months on the new lease side. I think it's just pretty granular and a small population. But I will say, I think the -- when you think about new lease pricing compared to last year, we expect the smallest delta between those 2 in Q1, and then could get larger for all the reasons we've talked about and then a blended basis to broadly, we expect that we would have better pricing in Q1 versus what we did this time last year.
Robert DelPriore: Haendel, it's Rob. On the RealPage settlement, I think I mean, first and foremost, I would say the settlement is no admission of wrongdoing or liability and remain confident that we've acted lawfully and responsibly. And secondly, it does not require any material changes to how we operate the business. The prospective commitments are all ones that we believe are consistent with how we conduct operations today. So we don't really expect any significant disruptions there. And then finally, it really is just about removing distraction and uncertainty in a complex and evolving legal environment where this is really an attack on the entire industry and not just MAA. The resolution did allow us to eliminate significant cost and complexity and distraction of the continued and prolonged litigation and keep the focus of leadership where we really want it, which is on residents, operations and value creation. And then the 2 ongoing attorney general matters that are disclosed in our financial reports are still continuing, and we will continue to defend those.
Operator: And our last question will come from Julien Blouin from Goldman Sachs.
Julien Blouin: I just wanted to check on maybe just the trend of absorption volumes in your markets. It seemed to maybe normalize somewhat in fourth quarter, certainly lower than it was in the fourth quarter of '24. Do you worry at all that maybe absorption is starting to slow amidst the job environment that Steve alluded to and maybe in this sort of slower migration environment. You're still dealing with elevated levels of vacant units in your markets, but just wondering how you feel about absorption?
Tim Argo: Yes. Julien, this is Tim. We did see absorption slow a little bit in the back part of the year and into Q4, but not really surprisingly. I mean, one, just there's a seasonal component to that, that is not unexpected. And then frankly, there's just as supply and starts have continued -- as we continue to get further from that peak, we would expect absorption to go down. There's just fewer units to be absorbed. But -- so we didn't necessarily need to stay at those extremely high levels that we've seen over the last few quarters. But as we look forward, just given the fact that there are so many fewer units in lease-up than there were 12, 15, 18 months ago, continued steady demand scenario, no sign of supply picking back up. We would expect absorption to be pretty consistent, demand to be pretty consistent and not concerned overall on that front.
Brad Hill: Julien, this is Brad. I'll just add one thing to that. As Tim mentioned, as new deliveries continue to decline, the absorption numbers, the way they're calculated are going to, by nature, continue to decline. And so one of the things that we're also focused on is what our market level occupancies look like in our markets. And certainly, we look at that on a total basis as well as just the stabilized occupancy. And as Tim mentioned, I think, in his opening comments, I mean, we've seen significant improvement in those market level occupancies over the past year. And the numbers are -- continue to show that the lease-ups that are in the market continue to be filled up and therefore, the market level occupancies are firming, which is one of the components of our strengthening -- belief of the strengthening performance throughout this year. So occupancies appear to continue to improve.
Operator: And we have no further questions, I will return the call to MAA for closing remarks.
Brad Hill: All right. Thanks for joining the call today. If you've got any follow-ups, don't hesitate to reach out. Thanks.
Operator: This concludes today's program. Thank you for your participation. You may disconnect at any time.